Operator: Good day, and welcome to the Cracker Barrel Fiscal Year 2021 Third Quarter Earnings Conference Call. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, today's event is being recorded. I would now like to turn the conference over to Jessica Hazel, Senior Director, Investor Relations. Please, go ahead.
Jessica Hazel: Thank you. Good morning, and welcome to Cracker Barrel's third quarter fiscal 2021 conference call and webcast. This morning, we issued a press release announcing our third quarter results. In this press release and on this call, we will refer to non-GAAP financial measures for the third quarter ended April 30, 2021. The third quarter non-GAAP financial measures are adjusted to exclude the non-cash amortization of the asset recognized from the gains on our sale-leaseback transactions and the related tax impacts. The company believes that excluding these items from its financial results provides investors with an enhanced understanding of the company's financial performance. This information is not intended to be considered in isolation or as a substitute for net income or earnings per share information prepared in accordance with GAAP. The last pages of the press release include reconciliations from the non-GAAP information to the GAAP financials. On the call with me this morning are Cracker Barrel's President and CEO, Sandy Cochran; Senior Vice President and Interim CFO, Doug Couvillion; and Senior Vice President and CMO, Jen Tate. Sandy will begin with a review of the business and Doug will review the financials and outlook. We will then open up the call for questions for Sandy, Doug and Jen. On this call, statements may be made by management of their beliefs and expectations regarding the company's future operating results or expected future events. These are known as forward-looking statements, which involve risks and uncertainties that in many cases are beyond management's control and may cause actual results to differ materially from expectations. We caution our listeners and readers in considering forward-looking statements and information. Many of the factors that could affect results are summarized in the cautionary description of risks and uncertainties found at the end of the press release and are described in detail in our reports that we file with or furnish to the SEC. Finally, the information shared on this call is valid as of today's date and the company undertakes no obligation to update it, except as may be required under applicable law. I'll now turn the call over to Cracker Barrel's President and CEO, Sandy Cochran. Sandy?
Sandy Cochran: Thank you and good morning, everyone. I appreciate you joining us for today's call. We delivered strong third quarter results, which exceeded our expectations. Our operators did an excellent job this quarter, managing a significant step-up in dine-in traffic, continuing to support elevated off-premise sales and driving double-digit retail sales growth compared to 2019.
Doug Couvillion: Thank you Sandy, and good morning, everyone. We are pleased with our sales performance in the third quarter, which exceeded our expectations. The improvement in sales during the quarter has us at our closest point to normalized fiscal year 2019 levels since the pandemic started. In addition, we made significantly more progress on operating margin than we anticipated in the third quarter and our adjusted operating income was 7.8% of total sales. Our better than expected sales performance especially in our retail business was the primary driver of our margin outperformance. As I get into the detailed financials, I will be commenting on our performance relative to both prior year in the third quarter of fiscal 2019, which we believe is the benchmark to understand the business at this point in time given our stores are operating in an off-premise-only model from late March through April of the prior year. For the third quarter, we reported total revenue of $713 million. Our restaurant revenue increased 58% and our retail revenue increased nearly 100% versus the prior year third quarter. Compared to the third quarter of fiscal 2019, comparable store restaurant sales decreased 8.6%. With more dining rooms open and our guests, knowing they can return to a safe experience that delivers on our mission of pleasing people, our dine-in sales volumes significantly accelerated in the third quarter. Even with the dining rooms reopening and reaching improved capacity rates, we retained approximately 95% of our second quarter individual to-go and delivery sales in the third quarter.
Operator: Thank you.  Today's first question comes from Jeff Farmer of Gordon Haskett. Please go ahead. 
Jeff Farmer: Hey, good morning. Thank you. A handful of labor questions to start with. In the prepared remarks, you did touch on a couple of these. But what are your current staffing levels as we sit here in late May versus where they were in pre-COVID levels? 
Sandy Cochran: Okay, I was waiting for the – for you to continue on Jeff. Good morning. This is Sandy. I'll say it this way, that our staffing situation although it's improved, it's still challenging. The way we categorize our store about 10% of the chain we've designated as critical in terms of how we believe our staffing is relative to the demand. We're either experiencing or anticipating. About 25 are in the category of concern. We've got a number of initiatives focused on that to help our operators both in recruiting and retention. But that continues to be one of the biggest challenges that we're dealing with in the current environment.
Jeff Farmer: And then just two more quick ones. So in terms of thinking about the end or the early end of extended and supplemental unemployment benefits as we get into June and into early July, how helpful do you expect that to be in terms of the hiring process?
Sandy Cochran: So the enhanced unemployment benefits certainly was one of the factors that's been impacting our staffing environment and the moves that I guess now we're at about 23 states that have made the decision to discontinue those additional benefits in the next month or so, will have an impact on the staffing environment. But I want to be clear, what we're really expecting is that that mostly is going to help us with applicant flow. What we will still be facing is a lot of competition in the industry sort of everybody's hiring at once in the restaurant industry as America opens up. But we've also got new competitors if you will for a lot of the similar skill sets companies like Amazon and the kind of employment increases they've got. All of that competition is going to continue I believe to impact wage inflation. So in some sense it will help but it doesn't alleviate all the problem.
Jeff Farmer: And then final one, this is pretty straightforward. So I might have missed some of this but the 5% commodity inflation in the fiscal fourth quarter. So – look carrying into fiscal 2022, how should we be thinking about commodity inflation as you move into your next fiscal year? 
Doug Couvillion: Yes. Thanks. That's a great question. I think in terms of the fourth quarter commodity inflation, I'd just call out that that was really being focused on the pork commodity for us. We're lapping some relatively low pricing on bacon. And as we're coming over that and with some of the changes in bellies and exports it's caused kind of an unusual amount of inflation. I expect that commodity inflation as we move into 2022 will moderate from that level.
Jeff Farmer: Okay. Thank you.
Operator: And our next question today comes from Brett Levy with MKM. 
Brett Levy: Great. Thanks for taking the call. I guess, if we just go back into the labor again starting with what do you think you need to do strategically to not just get the applicants to enter the door but to retain them, how much do you think it's going to incrementally cost you at the unit level, whether it's just incremental training, added benefits? And then also just, what can you do to accelerate your technology efforts to try to drive some additional productivity to try to manage the labor side?
Sandy Cochran: Brett, let me take a stab at it and I'll know, if Doug want to add something at the end. There's a lot in that question sort of some short-term things and long-term since I think that we've got a lot – a number of short-term pressures, some of which I just touched on. So as we think about recruiting, we're doing a number of things, certainly short term everything from front porch events which actually has been encouragingly successful. We've had a big program just to reach out to all of our former employees that we might have lost contact with over the course of the pandemic, try to get them back because that will clearly – those employees will be able to gear up certainly faster. We're doing – for some of our most challenged stores, we've actually set up a centralized staffing function here that can supplement the work being done at the store to try to focus even more. We've got employee referral programs. We've got – we're starting – we're trying to be sure that we're competitive in terms of the wage rates that we're offering in the markets that we're in for the skill codes that we're offering. We also do – your point is we need to be focused and we are on the retention of the employees that we have. And short term, we can do things like shift meals and extra bonuses or guaranteed bonuses and perks that are in the kitchen to try to be sure that we're an employer both of choice to come to work for us and then when you get there you want to stay. I think our field teams are trying to do a lot to ensure that the kind of cross-training emphasis we have. And the kind of training in general to get, productivity up, is offsetting the need for flexibility. So you need an employee to be able to fill multiple positions if you can, as well as to mitigate the inefficiency, of a whole bunch of new employees at one-time. Longer term, we're going to have to ensure that, our wage and benefit packages are competitive, that our training is effective. And that we treat employees in a way that would want them to stay with us. And have a career with Cracker Barrel. I do think that there is some technology that we can apply and we are applying, to that. For example, a lot of -- or some of the focus of our digital store work will allow guests to pay online. And the more we allow them to do that that takes pressure off our cash. It will allow us to just ordering online. And the more we can move volume to things like that it takes the pressure off the labor in the stores. And we continue to look at how we can use functionality in the back of the house with our new food system and our new labor system that streamlines and simplifies the work that our managers do to run our restaurants. So those are just a couple of examples of, how we can apply technology both, guest facing and back of the house, to have an impact on labor.
Brett Levy: And then, just two technical questions, what do you think -- you talked about, two cohorts that are informed and challenged. How many employees, do you think you had on hourly level, pre-COVID? And what's the shortfall right now? And then also, you talked about, an inching up of pricing. How should we think about your approach to pricing for not just at 4Q, but as we end 2021 and go into 2022. And then, I'll let others have a chance?
Sandy Cochran: So on the first question, I know, some -- what you're looking for is a number. I need x-number of employees. It's not really the way we look at it, because, we're looking out sort of ramping. Basically, I'm not going to give you that number. We think of it more, as which stores have critical needs as we look forward and in particular in certain skill codes. So the way I wanted to characterize it as sort of 25%, at a concern level and about 10% are critical. But we are very focused on helping those stores. We are thinking about our pricing strategy. And how we need to move forward to offset these inflation pressures both, in commodities and in wage. I'm going to let Doug speak to what we've announced. But, we want to be very careful that we understand which of these pressures are short-term versus long. And being very mindful that, our brand and our guests, very much values value. And that we want to be careful about, not disrupting our reputation and commitment to offering value on our menu. Doug, I don't -- do you want to -- have we announced our pricing strategy?
Doug Couvillion: I think, well, no, we've talked in terms of short-term pricing of about -- not pricing, but carry pricing of 3%, that's in the fourth quarter. And again, as Sandy said, I think, as we consider pricing going into next fiscal year, we'll be paying very close attention to what's going on with wages and cost of goods and trying to maintain a balance with our pricing structure. But beyond that, we haven't really talked much about, what we think are going to say for next year just yet.
Brett Levy: And then, just one last question, of the 35% the challenged and the informed. Are those, broad-based, or are those in any particular regions?
Sandy Cochran: Well, those are broad. There's probably certain D&As. And that you might see more, but it's broad.
Brett Saul: Thank you.
Operator: Our next question today comes from Alton Stump with Longbow Research. Please go ahead.
Alton Stump: Great. Thank you and congratulations on the impressive results. Just wanted to ask kind of back to the pricing versus cost front, as labor costs, I mean, on the commodity front is that a short-term pressure, or is that something that bleeds into the better part of fiscal year 2023 -- 2022?
Doug Couvillion: Alton, I think that the pressures we're seeing related to the 5% are relatively short-term. And I think again that was related to bacon. And some specific issues there. I think it will moderate, as we move into fiscal 2022. We're not really prepared to give specific guidance on that. But and I think, as the markets move forward over the next two or three months, we'll probably have a stronger opinion about, which areas are specific risk for 2022.
Alton Stump: Makes sense, helpful. And then just as you mentioned Sandy, that you are doing a billboard refresh. As I recall that's a pretty big piece of our advertising business especially, as presumably people will be out doing ultimate road trips this summer. So could you just give some color on as what that refresh entails and how it's different than what you had previously?
Jen Tate: Hi, this is Jen. The billboard refresh is part of a larger longer-term campaign that Sandy spoke about which is our care campaign, which is across lots of channels including our TV and our digital and of course, to your question about billboards. And we are right now in the process of flipping over our over 1,500 billboards. And they too will bring to life this idea that care and the care we take in making our food from scratch and the care we take in our hospitality and our service model and curating a retail item these boards bring that to life, right? So, they tell that story that our secret ingredient is care. And so those are flipping right now just in time for what we hope and really believe will be a very busy summer travel season as families and friends take to the roads again after being cooped up for a long time. So, we're excited for people to see our billboards on the road and how they bring the care campaign to life.
Alton Stump: Great. Thanks so much. I’ll hop back in the queue.
Operator: And our next question today comes from Jake Bartlett with Truist Securities. Please go ahead.
Jake Bartlett: Great. Thanks for taking the question. I know you've been hesitant in the past to give kind of quarter-to-date or monthly same-store sales. But I'm hoping you can help us really with the cadence and I'm thinking about from April to May. Just how important kind of as we try to think about stimulus. And also, as we think about the impact of stimulus as we think about the fourth quarter guidance in trying to gauge how conservative that may be. Could you give us any color on May perhaps whether it was stronger than April or weaker? Just whatever you could offer that would be great.
Sandy Cochran: All right. Well, let me take a stab at that Jake. So, not surprising we are encouraged and certainly through the third quarter at the pace of recovery and sequential monthly sales and we definitely think that it reflects strong pent-up demand willingness to spend, which we think was certainly amplified by the stimulus, probably also helped by the savings that people were able to accumulate while -- during the pandemic and we're seeing that. Although our guests as I mentioned are very value conscious, we are seeing check and add on the premium side and beer and wine and so on. And to Jen's point that she just made we're very optimistic about our fourth quarter in general. But May has been choppy. It started out strong. We're very pleased with our Mother's Day performance both dine-in and off-premise. The last couple of weeks have softened somewhat. We're assuming that this is related to the shift in Memorial Day from what would have been yesterday to next week somewhat to the Colonial pipeline impact and the impact that may have had on travel during that week. But in general, we're looking forward as Jen mentioned to families traveling this summer and to people getting back to their normalized routines in terms of work which we think will have a positive impact on our breakfast business.
Jake Bartlett: Great. That's really helpful. And then just in terms of your recovery it's impressive trajectory, but it is lower than what we're seeing with casual dining competitors. Can you offer your thoughts on why you think that is? And the -- whether it's breakfast whether it's the type of markets you're in? Just any thoughts you can give us why Cracker Barrel maybe even just family dining is trailing?
Sandy Cochran: Well, I think that there's been a number of issues for us that we've talked about on all the calls and you're alluding to a couple of them. Probably the two biggest relate to breakfast. It is continues to be the daypart that is the most challenged. It's the one it's the easiest to sort of people to do at home. It's probably the one most connected to a work routine That continues to be disrupted. So, the breakfast day part is probably the biggest one. And then the travel, we have not I think had the recovery in travel, but certainly we are hoping and expecting to see over the next few months.
Jake Bartlett: Great. And then last a quick question on commodities. In the past you've shared what level of contracting -- what percentage of your commodity is contracted for. Could you share that now?
Doug Couvillion: Sure. Yes. As we're looking at the fourth quarter, we've got a little over half of our commodity market basket locked up. That's a little bit lower than we would have had in the past. I think with prices that elevated levels we haven't advance some of our positions as far, but we feel good about that. Like I said just north of 50%.
Jake Bartlett: Great. Appreciate it.
Operator: And our next question today comes from Brian Mullan with Deutsche Bank. Please go ahead.
Brian Mullan: Thank you. I was hoping you could give us an update on the beer and wine initiative. Can you talk about what you're seeing where you have that in place from a sales lift perspective and update us on the rollout schedule? And then just from a restaurant sales mix perspective, where it was in the quarter? And do you still feel good about getting the 2% or more of restaurant sales?
Jen Tate: Yes. Sure. This is Jen. We have about 405 stores rolled out as of the end of Q3 and we are expecting that we'll be at about 600 stores by the time we get to the end of Q1 FY '22. We've made some great updates to our beer and wine menu. So we've added things like Sangria and Blue Moon that have done well.  And actually, six of the last seven states that we've added have actually brought the mix up. So we've been bringing on states that happen to have a higher mix of beverage alcohol. And so that's helping us. So we're pleased with the results we've seen in places like the Northeast and Texas, where mix is running in some of those states that doubled some of our early states average. So we are now optimistic that we can get beer and wine mix to 2% of dine-in sales. 
Brian Mullan: Great. And then just a follow-up question on Maple Street. For time you're talking about opening 15 units annually. Is that still a reasonable expectation for Maple Street when we think about fiscal 2022? And maybe could you talk about whether you're finding enough quality sites out there? Maybe touch on the construction cost inflation environment? Could that have an impact? Just your thinking on development there over the next couple of years -- next year and next couple of years? 
Sandy Cochran: Brian, let me -- I'll touch on at least some of those issues. I'll start with just as I said in the prepared remarks, I remain really pleased with the performance. I feel really confident about the brand and the growth potential. We are focused on securing the best sites and that's going -- it's going well, but maybe not as quite as fast as I had hoped. I'm still hoping to get double-digit growth in FY '22 whether it's going to be to the 15 we'll see. We're going to be doing both new markets and infill. And we'll be able to update you more about construction costs in more detail in our next call. 
Brian Mullan: Thank you.
Operator: And our next question today comes from Todd Brooks with C.L. King & Associates. Please go ahead.
Todd Brooks : Hey. Good morning, everyone. Just a few questions if I may. One Sandy, you were talking about just how encouraged you are with the off-premise revenue streams and the maintenance of those streams as dining rooms have reopened. I guess as you think about that business being in the kind of low 20s percent of mix versus a little bit less than 10 pre-pandemic. What's your best guess for what that settle out point is for what percent of mix you expect off-premise to be? Just trying to get a sense of what AUVs were building back to beyond what we saw in fiscal 2019? 
Sandy Cochran: I'm going to let Jen kind of speak to -- what your -- I assumed kind of getting at out is off-prem stickiness? 
Todd Brooks : Exactly. 
Sandy Cochran: All right. Jen, why don't you address that? 
Jen Tate : Yes. I think as Sandy said, we're really pleased with the strong demand for our off-premise offerings in Q3 and in particular, April where even with a majority of our system open for dining rooms, we still did more sales in off-premise this year than in April last year where the dining rooms were closed. So that has continued to reinforce our optimism about that ability to maintain that stickiness.  I know on the last call Sandy talked about our belief that we could retain at least 50% of the growth we saw in off-premise from that sort of high single-digits that we were at in a percentage of sales before the pandemic to the 20%-ish approximately 20% that we're at now. She had said at least 50%. I think we're comfortable today saying we're even more bullish about that. We believe we will retain at least 60% of the growth that we saw from pre-pandemic to current, if not higher.  So we continue to feel very positive about that. Although, we know we will see some consumers trade out of individual categories like delivery back into dine-in. We are seeing stronger-than-expected stickiness and we anticipate strong growth from the catering channel. 
Todd Brooks : Okay. And is there any assumption within that assumption, what's the thought about I know we're early on with the virtual brand, but are you building any thoughts on for that when you're talking about 60%, or would that be kind of an incremental off-premise stream if that does fully roll out? 
Sandy Cochran: We would treat that as incremental if that fully rolls out. We've been working on optimizing the menu and the offering for the chicken and biscuits brand and gaining some operational learnings in the last couple of months. And this week, we're expanding that test from one location to 19 stores because we do believe chicken and biscuits has a simple, but winning combination because it's very broadly appealing food.  Hand battered, hand-breaded fried chicken and tenders just our top-selling sides and scratch made biscuits combined with the fact that the menu is very streamlined, which enables us to deliver on guest expectations for speed. So because of that we think that this brand may launch in at least half of our system, pending the results of a test being successful. 
Todd Brooks : That's great. And then two more quick ones. One Doug for you. If we look at the guidance and just thinking about getting back to fiscal 2019 revenue levels in Q4. As we look longer-term to returning to full year fiscal 2019 revenue levels, can you just walk through the puts and takes, how much tougher the inflation environment is the wage pressure, and that incremental pressure on occupancy and other from packaging and the sale leaseback. Just where do you feel like operating margins, when you get there fall out on equivalent revenues to fiscal 2019?
Doug Couvillion: Yes. Let me take a crack at that. And so, what you're talking about is, I guess what we would affectionately call the post-COVID business model. And we've done a lot of thinking and a lot of work around restructuring our business for success in terms of what it's going to look like when we come through the pandemic. We feel really good about the steps that we're taking and continue to take to meaningful improve our business model over the long-term. We're also working actively on mitigating labor, commodity and other headwinds that the entire industry is facing, and that we expect to continue to see in fiscal 3022. At this time, no one really knows how strong or how long these headwinds are going to be facing us. But we believe that we can ultimately prove that it's going to -- we will -- I'm sorry. It's -- while we can't say exactly when we're going to return to fiscal 2019 margins, we're confident that we will continue to make the business model improvements and we're doing everything we can to offset labor and commodity inflation, and I'm optimistic that we'll see these margins improve over the -- by the end of 2022.
Todd Brooks: Okay, great. And then, one final one and this just gets back to the labor and the two buckets: the critical and the concerned bucket. Any operational changes required? I know Sandy, when you talked about front porch dining in the past that was fairly labor-intense that it's hard to get out to the ports to really service those customers well. In those third of the stores where there's some challenges are you having to curtail anything operationally that maybe in the near-term diminishes the sales potential for those units? Thanks.
Sandy Cochran: Yes. We're giving our field leaders a lot of latitude about how they manage the business with the constraints that they're dealing with. And so in some cases, yes, the first thing they might say is, I can't really support the front porch the way we would want to. You might see they close a dining room, if they don't have enough staffing on the grill or the servers, are certainly in some categories for a period of time to -- that is the way they might respond when they either don't have the staffing or we've still got employees who unexpectedly can't come and work their shift that day for a variety of reasons. So, what I've been really pleased with though is how in this very chaotic environment, our field leaders are leading through it, and I think doing a good job of delivering the brand as this demand has ramped up.
Todd Brooks: Okay, great. Very helpful. Thank you all.
Operator:  Our next question today comes from Jon Tower, Wells Fargo. Please go ahead.
Jon Tower: Great, thanks for taking the question. Just have a few if I may. First starting off with marketing spend, it sounds like you've obviously got a new program out there right now. I am curious to know if you're back at a full strength of spend on a dollar basis relative to say, the 2019 levels, or are you not spending at the full level yet, because of either capacity constraints at the restaurants or maybe even labor issues?
Sandy Cochran: We're not at the level that we were. So -- I don't know that it's as much capacity as that we didn't -- until we saw people were going to be back on the highways, I didn't want to invest, for example, in refreshing the billboards. So some part of the investment for the year we postponed till the end, because we didn't think we would have the impact and the benefit from it previously. The marketing team has done a great job, I think of shifting to more flexible by digital or digital marketing programs, which allow us to be more flexible and more targeted. And so, I think as we've gotten through this year, it's been somewhat opportunistic and evolving as the environment has changed. I think when we speak in more detail the next year you'll see a much more normalized investment and distribution of our marketing spend.
Jon Tower: Great. And do you -- following up on that, do you expect to return to pre-crisis levels of spend, or do you feel like you found, given the digital the channel there, a more effective way with a lower dollar spend?
Sandy Cochran: I don't think, Jen is -- actually I'll let Jen answer this, but I suspect she hasn't fully concluded but most marketing people, they'll spend all of the money that they would have allocated. It's just how they spend it and where they -- where it goes. I will say that the work she and her teams and our digital app teams have done and our new agency to help us understand what's possible and the kind of results we can get on digital, do support shifting more of our dollars to that channel and getting a lot of -- a lot more bang for that buck. Jen, do you want to add any more?
Jen Tate: Yes. I won't comment on the exact dollar amount we're going to spend next year. But I will say, you're right, that we are transitioning more and more of our investment into the digital space, especially now that we have the fully rolled out digital store that brings together our eat, cater and shop, so that people can on their same browsing visits. They can put things from our restaurant in their cart. They can put cool items from the retail shop in their cart. They can even put a catering order in their cart, right? So that, now that we have that and we're making significant improvements to both our site and our app. We will continue to move dollars into those digital channels that drive conversion there. And we have seen a nice uptick in conversion and average order value. So, we'll continue to invest in that.
Jon Tower: Okay. Thank you. And then just pivoting to the retail sales. Obviously, the gross margins this quarter were very strong. I think some of the strongest you have on record, if I'm not mistaken for the retail business. And I'm just curious, how much of this you would attribute to full-price sales, but it sounds like full price sales mix was a driver of this. So, is there any way to parse out, how much of this was tied to short-term tailwinds like stimulus say versus longer-term initiatives around better inventory management or product selection for the consumer. Just trying to gauge, when looking at these numbers, how much can stick in the future? And I understand obviously the supply chain stuff you had mentioned earlier Doug might be a bit of a near-term headwind, but any way to kind of think about it over the longer term would be great?
Sandy Cochran: So, I think first of all, I just -- I got to say our retail team has done a phenomenal job of navigating through this and there's a lot of issues at play. Certainly, the convenience of shopping and eating in the same location has resonated. But they've also just been able to have the kind of assortment with its fun and unique, some nostalgia great value, but it's like America wants to have fun and we had the product there that helped them do it. And I think, all of that really helped our -- helped our sales. In addition, that then those full price sales helped our margins. I think that the team has had learnings through this. One of them I mentioned in my prepared remarks like in men's assortment, we've been able to see improvements there and then add on to that. I think, they've also seen how this -- how the visual merchandising with less product potentially has allowed the guest to feed the product better. So going forward, we believe we will be -- get some long-term benefits about how much inventory we need to generate the sales. So, certainly, there's been some impact of the stimulus and the savings. But I think they -- the retail team has done an excellent job of capturing that opportunity and in learning from it and we'll be translating some of those learnings going forward.
Jon Tower: Got it. Thank you. And then just following up, I think to an earlier conversation about kind of the off-premise mix. And I think Doug you had mentioned earlier that 25% of your off-premise around that was coming from delivery or third-party platform. So I'm wondering if there's any way to determine how many of these customers are existing in-store customers? And really, I guess, I'm trying to figure out, how many of these customers might shift back to that in-store occasion when the option is available to them versus sticking to that third-party delivery? And then just one more on top of that. I don't know if you've offered this before, but is there any way to think about or tell us what the pricing differential is between an in-store transaction and a delivery transaction excluding all the fees? Simplistically put, is there a 5% or 10% pricing on a delivery menu versus say in-store transaction?
Sandy Cochran: I'm going to actually ask Jen to speak to maybe the beginning the different channels and stickiness. And then Doug, I think, you're going to say, we're not going to -- we don't provide the specific pricing premium except to say that we largely offset the fees, but Jen why don't you speak to the beginning part of that question? 
Jen Tate: Yes. Your question about third-party delivery consumers and how much of those we think will trade back to dine-in visit? What we have seen is that the third-party delivery guest tends to be incremental to the Cracker Barrel base. They are the least likely to be our core guests. Whereas the curbside pickup or an in-store pickup guest is more likely to have at times dined in with us. Third-party guests tend to be new to Cracker Barrel brands. They may have discovered Cracker Barrel during the pandemic, and so they have been additive or incremental to us. And we have been impressed with the stickiness. We really have seen as our dining rooms have opened. An impressive portion of those third-party sales have remained. So no one can predict what will happen a year from now as the pandemic is truly in our rearview mirror, but the third-party guests for us tends to be more incremental than the curbside guests.
Doug Couvillion: And as we entered the third-party delivery business a few years ago, we spent a lot of time thinking through the implications it had on our margins. And we have taken additional pricing on third-party delivery. We just haven't quantified it. If you were to give us a try in your local area and go to and have a DoorDash delivery, I think you'll see what our structure looks like relative to our in-store menu. That would probably help you out a bit.
Jon Tower: Yes. Unfortunately, I don't have one around me, but I'll try next time I'm on the road and see what I can do. But thank you for taking the time. I appreciate it.
Doug Couvillion: Certainly.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for the final remarks.
Sandy Cochran: All right. Well, thank you all for joining us today. We appreciate your interest, support and look forward to speaking with you again soon.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect your lines and have a wonderful day.